Operator: Hello, everyone, and thank you for joining the Insight Enterprises First Quarter 2025 Operating Results Call. My name is Sammy, and I'll be coordinating your call today. [Operator Instructions] I will now hand over to your host, Ryan Miyasato, to begin. Ryan, please go ahead.
Ryan Miyasato: Welcome, everyone, and thank you for joining the Insight Enterprises earnings conference call. Today, we will be discussing the Company's operating results for the quarter ended March 31, 2025. I'm Ryan Miyasato, Investor Relations Director of Insight. And joining me is Joyce Mullen, President and Chief Executive Officer; and James Morgado, Chief Financial Officer. If you do not have a copy of the earnings release or the accompanying slide presentation that was posted this morning and filed with the Securities and Exchange Commission on Form 8-K, you will find it on our website at insight.com under the Investor Relations section. Today's call, including the question-and-answer period, is being webcast live and can also be accessed via the Investor Relations page of our website at insight.com. An archived copy of the conference call will be available approximately two hours after completion of the call and will remain on our website for a limited time. This conference call and the associated webcast contain time-sensitive information that is accurate only as of today, May 1, 2025. This call is a property of Insight Enterprises. Any redistribution, retransmission, or rebroadcast of this call in any form without the expressed written consent of Insight Enterprises is strictly prohibited. In today's conference call, we will be referring to non-GAAP financial measures as we discuss the first quarter 2025 financial results. When discussing non-GAAP measures, we will refer to them as adjusted. You will find a reconciliation of these adjusted measures to our actual GAAP results included in both the press release and the accompanying slide presentation issued earlier today. Please note that all growth comparisons we make on the call today relate to the corresponding period of last year unless otherwise noted. Also, unless highlighted as constant currency, all amounts and growth rates discussed are in U.S. dollar terms. As a reminder, all forward-looking statements that are made during this conference call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks are discussed in today's press release and in greater detail in our most recently filed periodic reports and subsequent filings with the SEC. All forward-looking statements are made as of the date of this call and, except as required by law, we undertake no obligation to update any forward-looking statement made on this call, whether as a result of new information, future events, or otherwise. With that, I will now turn the call over to Joyce. And if you're following along with the slide presentation, we will begin on slide four. Joyce?
Joyce Mullen: Thank you very much, Ryan. Good morning, everyone, and thank you for joining us today. In Q1, we delivered adjusted earnings from operations and adjusted diluted earnings per share in line with our expectations. We were pleased with the continued hardware momentum led by commercial and corporate demand and our gross margin expansion. Although gross profit was slightly below our expectations, primarily due to product-related services performance, effective expense management allowed us to achieve our profitability target. Specifically, in Q1, hardware revenue met our expectations with good performance in servers and storage along with continued recovery in devices. Cloud performance also met our expectations and the underlying SaaS and Infrastructure as a Service gross profit grew 17%, offset by the partner program changes we've discussed previously. On-prem software revenue was down 32% due to a large transaction in Q1 2024, making the comparison difficult. And Insight Core services revenue was down 2% and below our expectations as our large enterprise clients delayed services projects due to a lack of market clarity. Since our last earnings call, the outlook for the macro environment has deteriorated, resulting in increased volatility and uncertainty. However, volatile market dynamics represent an opportunity for Insight, given our low share position in a large and fragmented market. For example, as clients look with increased skepticism at complex contracts, and entrenched service partners, we take a different approach. We provide targeted solutions to specific business problems, deliver results fast, and earn the right to do more. This approach resonates with clients. For the year, our primary focus is accelerating profitable growth. First, we are working closely with our partners and clients to navigate the supply chain and pricing environment with the understanding that trade policies can change rapidly. In addition, we are enhancing our consulting business engagement model by adopting the proven framework from our recent acquisitions, which have delivered exceptional client engagement scores. This framework includes adopting a more disciplined methodology and leverages GenAI technologies to deliver quick assessment of our clients' environments, improve speed and effectiveness of project scoping, and define a roadmap of value creation projects and services. And finally, as hardware demand returns, we are focused on driving attached services to hardware sales. We are also expanding programs with our distribution partners to further improve availability of supply and to help with price uncertainty in the market, increasing the frequency of our price monitoring, and price adjustments across our product portfolio and helping our clients optimize technology purchase decisions, given tariff and supply chain structures. And in Q4 of last year, we adjusted our operating expense cost base in anticipation of demand challenges in the first half of 2025. As the year progresses, we will continue to make necessary adjustments. Despite the volatility and uncertainty in the market, we remain focused on our strategy to drive long-term profitable growth. And the fundamentals driving the tech industry continue to accelerate. AI will be a huge driver of business process transformation for our clients. We are pleased to be a key partner with the leading AI platforms that will enable this change. For example, as data volumes continue to grow exponentially, clients turn to us to help provide actionable solutions. Our data and AI teams guide clients to process complex data at scale, enabling them to achieve business outcomes faster. The Sherlock Company is a leading creative studio, serving top entertainment brands like Disney, Hulu, and ESPN. They face the bottleneck in creating thumbnails for personalized recommendations. Each new campaign required days of manual image review. This labor-intensive process limited content variation and engagement. Sherlock turned to Insight, an eight-time Google Cloud Partner of the Year to solve this problem and deliver AI-driven content creation. We implemented this AI solution, leveraging Google Cloud's Vertex AI and Gemini to automatically analyze video content and extract on-brand imagery. What once took days of manual effort now takes about 10 minutes. Free from this bottleneck, Sherlock can now scale up creative personalization with minimal increases in cost. Their CEO summed it up best. We anticipate we will save hundreds of hours of work per month, providing immediate value to our customers in the entertainment industry. As a result, we've become Sherlock's primary AI innovation partner. There are already multiple expansion opportunities in the pipeline to further optimize production workflow. In another instance, a client encountered a common challenge faced by so many organizations, disparate data silos that hinder effective analysis. Boyne Resorts is one of North America's premier hospitality companies with a dozen ski and golf destinations, over 10,000 employees, and millions of guests annually. However, disconnected systems had created data silos that limited guest insights and put their guest-first ethos at risk. Our Microsoft architects developed a Customer 360 platform to unify guest data from all sources into a single comprehensive customer record. We also guided Boyne's transition from a monolithic system to a best-of-breed ecosystem, incorporating data from multiple platforms, including e-commerce, warehouse management solutions, product management, and data intelligence software, all designed for scalability and future flexibility. Armed with this new modern architecture, Boyne is developing a MyAccount application that gives guests a seamless digital experience and one consolidated view of all their interactions. Boyne's VP of IT Enterprise Architecture called it a game changer. With the ability to attract guest activity across each touchpoint, Boyne will be able to make smarter operational decisions, deliver more personalized guest experiences, and scale quickly to meet changing market demands. These examples illustrate our broad capabilities, leveraging AI and our strong partner relationships to deliver quantifiable business outcomes to our clients. We take pride in the recognition of our efforts to develop and strengthen business relationships with these partners. Recently, we have been honored with the following accolades: 2025, Google Partner of the Year for Google Workspace; Intel U.S. Data Center Partner of the Year, highlighting our expertise in the infrastructure space; ESET Canada Enterprise Partner of the Year, showcasing our proficiency in a variety of enterprise security products. We have attained top-tier status as an elite consulting partner with Databricks, a leader in data analytics and AI, and we have achieved five Google Public Sector partner expertise specializations in AI and ML, data analytics, maps and geospatial, security and work transformation, essential components in deploying cloud environments. Our teammates are critical to delivering the value we create for our clients. We continue to foster an inclusive environment and Insight has been recognized by various organizations, including Newsweek America's Greatest Workplaces for Diversity for 2025, Best Workplace for Large Companies in the Philippines 2025, and a perfect score of 100 out of 100 on the Human Rights Campaign Foundation's 2025 Corporate Equality Index. Finally, we are dedicated to leveraging technology to make a positive impact. We are proud to present the progress we've made in our ongoing commitment to the UN Global Compact as described in our seventh Annual Corporate Citizenship Report. Now I'd like to share my thoughts on 2025. Entering the year, we anticipated demand with our large enterprise and corporate clients would remain challenged in the first half, and hardware demand would build throughout the year. While we continue to believe that the second half will be stronger than the first, we now see an added layer of complexity for the year with the impacts of tariffs, potential supply chain disruptions, and client spending patterns. The extent to which demand for products and services is impacted by the macro environment remains to be seen. Our view of the key puts and takes include the following. Mindsets and priorities have shifted from growth to cost management, but AI spend remains a priority. Firms are reallocating budgets from other segments to invest in AI. We're seeing delays in new projects and scaling back of current services projects and anticipate ongoing challenges, especially with our North America large enterprise clients. The drivers of hardware demand, Windows 11, and an aging installed base remain, and we expect continued momentum throughout the year. We expect cloud gross profit to be flat to slightly down as we continue the pivot of our Microsoft and Google Cloud businesses to the corporate and mid-market space. And we remain diligent on expense management while investing in strategic sales, relevant services delivery, and internal automation. As we navigate the near-term challenges and fluctuations, we are confident in the fundamental drivers of our industry. We continue to invest in areas that matter most to our clients, cloud, data, AI, edge, and cyber. The importance of digital transformation, data accessibility, and realizing the potential of GenAI remains strong. With that, I'll turn the call over to James to share key details of our financial and operating performance in Q1 2025 as well as our outlook for 2025. James?
James Morgado: Thank you, Joyce, and good morning, everyone. Our Q1 adjusted earnings from operations and diluted earnings per share were in line with our expectations with gross profit slightly below, offset by strong operating expense management. Net revenue was $2.1 billion, a decrease of 12%. The decrease was driven by a 13% decline in product, primarily due to on-prem software related to a large deal in Q1 2024 as well as the effects of a partner consolidation that shifted gross product revenue to net agency services. Hardware revenue increased 1%, the first time in 10 quarters. Gross profit decreased 8% due to partner program changes as well as a decline in on-prem software and agent services, primarily related to the large software deal in Q1 2024. Hardware gross profit was down 1%, driven by mix. Devices gross profit increased mid-single-digits, while infrastructure declined high-single-digits, primarily due to networking. Insight Core services gross profit was $73 million, a decrease of 4%, primarily due to our product-attached services as large enterprise clients delay projects. Cloud gross profit was $103 million, a decrease of 3% due to the decline in legacy Microsoft Enterprise agreements and, to a lesser extent, a decline in our Google Cloud business related to our pivot to the mid-market. This was in line with our expectations. And as noted last quarter, we anticipate the headwind to be weighted more in the first half of the year. SaaS and Infrastructure as a Service increased 17%, excluding the impact from the partner program changes we described last quarter. Gross margin was 19.3%, an increase of 80 basis points due to mix, primarily reflecting lower on-prem software. Adjusted SG&A declined 5%, driven by the actions we took in Q4 as we accelerated the integration of recent acquisitions. This resulted in adjusted EBITDA of $111 million, a decrease of 16% while margin contracted 30 basis points to 5.3%. And adjusted diluted earnings per share were $2.06, down 13%. The decline was primarily due to lower gross profit, partially offset by lower adjusted SG&A, share count, and a favorable tax rate. For the quarter, we generated $78 million of cash flow from operations. For the year, we continue to anticipate cash flow from operations in the range of $300 million to $400 million. As at the end of Q1, we have $300 million remaining for our share repurchase program. We intend to opportunistically repurchase shares while balancing organic and inorganic investments. Our adjusted return on invested capital for the trailing 12 months at the end of Q1 was 14.9% compared to 18% a year ago, reflecting the recent acquisitions. In the quarter, we settled $333 million of convertible notes by utilizing our ABL facility. In addition, we have associated warrants, a portion of which we settled in cash in Q1 and the beginning of Q2, totaling 3.6 million warrants for $22 million. We currently have approximately 1.5 million warrants remaining, which we expect will mature or be settled before the end of the year. We exited Q1 with total debt of $961 million compared to $882 million a year ago. Over the last year, we spent $574 million on acquisitions, share repurchases, and the settlement of warrants, while debt only increased $80 million. As of the end of Q1, we had access to the full $1.8 billion capacity under our ABL facility, of which $1.3 billion was available. We have ample liquidity to meet our needs. Our presentation shows our performance through Q1 2025 relative to the metrics that we described at our Investor Day in October 2022. On a trailing 12-month basis through Q1, here's the status. Cloud gross profit growth of 14%, Core services gross profit growth of 8%, adjusted EBITDA margin of 6.2%, adjusted diluted earnings per share decline of 9%, adjusted ROIC of 14.9%, and adjusted free cash flow as a percentage of adjusted net income of 129%. As we think about 2025, we have considered the following factors in our guidance and expect similar to our previous guidance in February. Our growth and profitability will be more heavily weighted towards the second half of the year as we navigate the partner program changes. We expect hardware gross profit to grow in the mid-single-digits. We expect demand with our large enterprise clients to remain subdued, particularly impacting our Core services business, which we anticipate will be stronger in the second half and grow in the single-digits for the year. We anticipate cloud to be flat to slightly down due to the decline of enterprise agreements and our pivot to the corporate and mid-market space. And we will continue to prudently manage SG&A expenses. Considering these factors, for the full-year, our guidance is as follows. We expect to deliver gross profit growth in the low-single-digits and that our gross margin will be approximately 20%. And we anticipate adjusted diluted earnings per share will be between $9.70 to $10.10. This guidance includes interest expense between $70 million to $75 million, an effective tax rate of 25% to 26% for the full-year, capital expenditures of $35 million to $40 million, and an average share count for the full-year of 32.9 million shares, reflecting the settlement of the remaining warrants associated with our convertible notes. This average share count is a decrease of approximately 2 million shares from year-end due to the warrants settled to date. This outlook excludes acquisition-related intangible amortization expenses of approximately $74 million, assumes no acquisition-related costs, severance, and restructuring or transformation expenses, and assumes no change in our debt instruments and no meaningful change in the macroeconomic outlook, either as a result of tariffs or otherwise. I will now turn the call back to Joyce. Joyce?
Joyce Mullen: Thanks, James. While the current macro environment is uncertain, we remain confident in the long-term drivers of our industry. In fact, the pace of innovation has been accelerating with the rise of GenAI and multi-cloud environments and our clients need Insight to navigate this increasingly complex set of choices. We continue to invest in our sales and technical resources, improve our go-to-market execution, and deepen our technical expertise in areas like cloud, data, AI, edge, and cyber. We're also driving deeper integration with our partners who, now more than ever, need Insight to integrate their offerings into solutions for clients. This is our strategy to become the leading solutions integrator. I would like to thank our teammates for their unwavering commitment to our clients, partners, and each other, our clients for trusting Insight to help them with their transformational journeys, and our partners for their continued collaboration and support in delivering innovative solutions to our clients. This concludes my comments and we will now open the line for your questions.
Operator: Thank you, Joyce. [Operator Instructions] Our first question comes from Joseph Cardoso from JPMorgan. Your line is open. Please go ahead.
Joseph Cardoso: Hey, good morning, and thanks for all the details and the question here. I guess maybe just the first one for me and on the guidance. It's nice to see the reiteration here, just given the macro. But anecdotally, it also sounds like it's a much tougher backdrop than it was 90 days ago, exacerbated tariffs, larger customers seem to be pausing. So, maybe you can just take a second and just flesh out in more details like, from a high-level, what's driving the confidence here to kind of reiterate or essentially get to the same outlook that you had 90 days ago? What are the key puts and takes that you think balance each other off? And do you think investors should essentially focus on that helps you achieve a similar guide from what you were thinking about when we last met at last earnings? And then I have a follow-up. Thank you.
Joyce Mullen: Yes. I'll start and then, James, you can chime in.
James Morgado: Yes.
Joyce Mullen: You know, Joe, thank you very much for the question. I have -- we've been spending a lot of time thinking about kind of the macro environment and the impacts that we see. And there's been so much uncertainty that it's really hard for us to read either a very -- you know, either a huge correction in either direction. So, if we stay kind of in the same environment that we're in today, we have a lot of reasons for optimism. We're seeing good momentum in hardware spend. We're seeing good momentum in AI interest and spend. Those are not yet big numbers for us on the services side, but we expect those to improve over time. We're seeing really good performance from the acquisitions that we purchased last year and the year before. So, there's some really good reasons for optimism. The drivers for device refresh remain. So, there's still runway there. We're seeing pretty nice bookings across the board in hardware as decisions are being made around infrastructure and that's also an aging environment. And then, and then we have -- we're -- you know, as we took -- as we talked about almost, I think, two quarters in a row around the partner program changes that impacted us last year and this first half of the year, especially, but throughout the whole year, we're managed --managing through that quite effectively. So, that's why we're optimistic. And of course, we have no crystal ball and we don't really know exactly what's going to happen with tariffs and the macro. But if we stay sort of in this environment, then we feel optimistic about the need for customers to spend money on technology to modernize and continue to improve their infrastructure and we're in a great position to do that.
James Morgado: And -- hey, Joe. I would just add to that and say that Q1, there were some puts and takes, but largely lined up to our expectations. So, seeing Q1 land, you know, on the cloud and partner program changes, you know, Q1 landed to our expectations there. That's obviously something we have to navigate through the year, but that gives us more confidence as we've navigated Q1. And I'm sure you or somebody else will ask this question in terms of how Q2 is starting. It's early in the quarter, but so far, we're, you know, seeing the continued momentum in hardware at the start of Q2 as well. So, it gives us a little confidence in terms of the first half potentially shaping up to the way we have in our expectations.
Joseph Cardoso: No, fair. I appreciate the color. And then maybe just a quick clarification, you know. Obviously, you guys talked about some of the delays or pauses that you're seeing or hesitation that you're seeing from customers on the services side. But maybe if we switch gears on the hardware side and particularly kind of the trends you saw in the first quarter and maybe second quarter today, like are you seeing any demand pull in from the customers that you're servicing? And then particularly like how has that progressed as we kind of gone through the first couple of months here in the year? And then maybe more specifically, if you are seeing any demand pull in or that type of behavior, is it really focused on PCs or are you seeing it broadly across the different categories that you guys service on the infrastructure side as well? Thanks for the questions guys. I appreciate it.
Joyce Mullen: Yes. We saw some minimal pull in in response to the threat of tariffs in Q1, but not impactful. We see kind of the same trend in Q2, and it's mostly device-related, Joe, but it's -- you know, what we really think is driving this is there is definitely an -- a general movement to figuring out how to improve and leverage AI technologies. Every single client is talking about it. Almost very few clients have actually started working on it, but they know that they have to have fairly robust infrastructure capability. They know they have to have improved data capability and they know they need to make sure that their teammates that can be productive with their devices. So, I think that's, that's really driving the demand more than anything else.
Operator: Our next question comes from Adam Tindle from Raymond James. Your line is open. Please go ahead.
Adam Tindle: Yes. Thanks. Good morning. Okay. Thanks. Good morning.
James Morgado: Good morning, Adam.
Adam Tindle: Just wanted to start, Joyce -- yes. Can you hear me?
Joyce Mullen: Yes.
Adam Tindle: Okay. Sorry, just headed to the airport at the moment. Joyce, I wanted to start or continue the conversation on hardware since I know you've got a long history in that space. You know, in time periods like this where we've got tariffs announced, what do you expect the vendor OEMs to do as it relates to pricing going forward? Have you seen any of them begin to potentially raise prices at this point? And relatedly, as you kind of think about that potential environment and the guidance for the year being a little bit more back half weighted profitability, how are you thinking about the potential impact to elasticity of demand if we do experience some aspect of price increases? And then I have a follow-up. Thanks.
Joyce Mullen: Thanks, Adam. Yes. I mean, so the tariff response and preparation depends on the OEM. It depends on their supply chains and it depends on their inventory positions. So, we've seen one or two OEMs increase prices. We've seen a bunch of OEMs talk about sort of restricting the validity of the timeframe of quotes, things like that. But I would say, generally, the pricing motion has been pretty subdued. And as I said, that really depends largely on kind of what their supply chain and how their mix looks like -- what their mix looks like geographically. We spent a lot of time modeling the tariff impacts and trying to understand exactly what we would expect to see, given what we learned in about four or, I guess, eight years ago or when we dealt with this the last time. And also frankly, we use some of the same skills during COVID because there was a similar type of impact. And generally, if the tariff rates stay kind of where we think -- where they are today or they're in that 10% range, it's -- frankly, the impact on us is slightly positive because ASPs go up and we generally pass on the cost to our clients. If those tariffs increase beyond that, in that 25% or, you know, much bigger range of impact, then the demand does get muted. And not only that, it starts to create even more uncertainty around budget allocation and capital allocation for, for our clients. So, that's how we're thinking about it. And right now, as James said, we're assuming basically status quo in our guide.
Adam Tindle: Okay. And then maybe just as a follow-up on the services side of the house. You mentioned a number of moving parts and things that you're doing there. I just would like to double-click on why now, what's happening there. And if I look at some of the results of delivered services, I think we're down mid-single-digits or so, for example. What's happening in the environment to drive a little bit of the more challenge in the services business? I wouldn't think that would be related to the partner program changes, for example, but maybe if you could just sort of flush out a bigger picture on the services piece and what did -- where it goes from here. Thanks.
Joyce Mullen: Yes. So, the services piece is -- there are a bunch of moving parts. So, we're very -- we're very pleased with the performance of our SADA, Amdaris, and Infocenter acquisitions. That's working very, very well. As we said, the primary driver of the decline was product-related services. So, there's a couple of things going on there. James mentioned that, you know, while you see that our device -- our hardware business was up, which is -- but minimally, so there's a little bit of a lag between the hardware sale and the services attached. So, there's -- that is a big, big focus for us, making sure that as that hardware business returns, and we're encouraged by the bookings in Q2, as James said, although it's early, we expect to see that services business improve. We're also taking lessons in our consulting business, broadly speaking from one -- some of our acquisitions. So, we have learned that very strong methodologies, lots of discipline as I described in my remarks, and a very, very focused effort around scoping projects rapidly, and keeping them small enough so that they are digestible by our clients, so that we can follow-up and earn the right to do more with exceptional execution really does work. We're applying those same methodologies to our entire consulting business and we're all very pleased with those results. That retooling is happening now and I think we're -- we will absolutely deliver dividends. The other thing that we're doing around services, I should -- I wanted to mention is M&A continues to be a focus for us. As we become and pivot to an AI-first solutions integrator, we expect to continue to focus on data and AI, multi-cloud, cyber, and edge. But we're also noting that there is an inextricable link between business process reimagination and domain expertise and AI technology deployment in order to deliver those real outcomes that clients are looking for. So, we're in the process of building these capabilities and we're very, very excited about that and we think that has legs for a while.
Adam Tindle: Thank you.
Operator: Our next question comes from Harry Read from Redburn. Your line is open. Please go ahead.
Harry Read: Hi, good morning. Thanks for taking some questions. Looking at some of the U.K. peers, they've been saying, obviously, versus their own expectations, but the Microsoft commission changes on enterprise agreements have been better than expected in certain areas, i.e., with certain end clients, whether that be public, private, SME, et cetera. I'm just wondering if you're seeing any differential on the impact by end client. And then the second one is just you went through a little bit of restructuring late last year on headcount. Just wondering how you're thinking about headcount today as you've got more incremental information on how you expect the market to develop throughout the rest of 2025. Thanks.
Joyce Mullen: Thanks, Harry. I'll start with the first one. I'll turn it over to James for the headcount conversation. So, yes, you know, we are -- so on the cloud performance, our cloud performance was in line with our expectations. We obviously expected those impacts that we talked about in our earnings call in February. We said the first half would be -- compares would be more difficult and that we would see improvement in the back half. We're pleased with the underlying SaaS and IaaS growth at 17% and that includes kind of some of those commission changes as you call them, Harry, around the CSPE products, for example, from Microsoft. So, those are in line with our expectations. And so generally, we are pleased with cloud performance and expect that continue to improve throughout the year.
James Morgado: And, Harry, from an SG&A standpoint, as you rightly mentioned, we took actions at the end of last year in anticipation of the year and the headwinds that we're going to see in terms of the partner program changes. Pleased to see our performance in Q1 in terms of the discipline that we have around operating expenses. For the year, we're going to continue to be very disciplined around our SG&A expenses. We would expect that this year that our SG&A will grow slightly slower than our GP, which is what we would expect in our long-term model as well. But in terms of investments, we're continuing to make sure we preserve as much capacity for sales and our technical talent and we'll watch that very carefully as the year progresses. But we'll continue to be very disciplined around SG&A.
Harry Read: Great. Thank you.
Operator: [Operator Instructions] Our next question comes from Vincent Colicchio from Barrington Research. Your line is open. Please go ahead.
Vincent Colicchio: Yes. Curious if the market slows down, you know, versus expectations, what are some of the actions you're willing to take maybe such as offshoring, more labor, things of that nature?
Joyce Mullen: Hi, Vince. Yes. I mean, we have an entire set of plans around significant downturns in the market that address our OpEx expense. Of course, there's there -- we -- the improvements that James alluded to and the SG&A efforts that we have underway are largely -- are very much in process. And so we have a pretty good playbook around that. And yes, we have more room on offshoring. We certainly have a lot more room on automation and we've launched an internal set of AI initiatives, which we're very, very excited about to help us figure out how to improve our overall SG&A structure and leverage. So, I feel like we're well-prepared for cost management and improvement and we're going to take those actions with or without a downturn. And if there's a downturn, we'd obviously execute those faster.
Vincent Colicchio: And are you assuming that enterprise spending on services remains weak through the balance of the year?
Joyce Mullen: We expect that in the back half of the year, we will start to see services spend improve.
Vincent Colicchio: Got it. That's all I have. Thanks.
Joyce Mullen: And that really lines up with improved -- with improved products -- product, product sales, and then there's, as I mentioned, a little bit of a lag before we see the services associated with those.
Vincent Colicchio: Thank you.
Joyce Mullen: Thanks, Vince.
James Morgado: Thanks, Vince.
Operator: We currently have no further questions. So, I'll hand back to Joyce Mullen for some closing remarks.
Joyce Mullen: Thank you very much, everyone, for your questions and your interest. Now more than ever, our clients really do need a trusted advisor to help navigate this increasingly fragmented and complex landscape, and especially amidst the uncertainty impacting global technology supply chains, our job is to figure out how to optimize those supply chains for our clients. So, we feel very optimistic about the opportunities ahead. And I look forward to sharing you -- with you our continued progress on our journey as a leading solutions integrator. So, you can now close the call, operator. Thank you.
Operator: Thank you, Joyce. This concludes today's call. Thank you very much for joining. You may now disconnect your lines.